Operator: Hello and welcome to the First Interstate Bancsystem Fourth Quarter 2016 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I’d now like to turn the conference over to Kenzie Lawson, Investor Relations. Please go ahead.
Kenzie Lawson: Thank you. Good morning. Thank you for joining us for our fourth quarter earnings conference call. Before we begin, I’d like to direct all listeners to the cautionary note regarding forward-looking statements and factors that could affect future results in our most recently filed Form 10-K. Relevant factors that would cause actual results to differ materially from any forward-looking statements are listed in the earnings release and in our SEC filings. The Company does not intend to correct or update any of the forward-looking statements made today. Joining us from management this morning are Kevin Riley, our Chief Executive Officer; and Marcy Mutch, our Chief Financial Officer along with other members of our management team. At this time, I’ll turn the call over to Kevin Riley. Kevin?
Kevin Riley: Thanks, Kenzie. Good morning and thanks again to all of you for joining us on the call today. We delivered another solid quarter to finish up 2016 with positive year-over-year trends in most of our key metrics. We reported earnings per share of $0.55 for the fourth quarter compared to $0.51 for the same period 2015. When you breakout the acquisition expenses and the impact of legal settlements, we generated core earnings per share of $0.57 in the fourth quarter compared to $0.52 a year ago, an increase of 9.6%. For the full year, our GAAP earnings per share were up more than 12% over 2015. Based on this growth and the healthy outlook for the company, we have recently announced a 9% increase to our quarterly cash dividend. This adds to our longstanding track record of consistently increasing our dividend and returning cash to our shareholders. While this is a solid quarter overall, there is a little noise along with reclassification related to mortgage banking, which Marcy will discuss in her comments later. In the fourth quarter, our earnings growth was primarily driven by higher revenue, the most of that coming from higher spread income. Taking a look at expenses, our goal for the year was to maintain a reasonable efficiency ratio even while we deployed resources to improve our processes and technology. We’re pleased that we continue to operate on stable level of efficiency. For the full year, our core efficiency ratio was 61.2%, an improvement of 54 basis points over 2015. One of the drivers of the improved efficiency is our commitment to accurately manage our headcount. We continue evaluating our staff needs and as positions come open to national attrition, we carefully consider whether the replacement is truly necessary. Through these diligent processes, we reduced our headcount in 2016 without an impact to our customer service, business development or back-office support capabilities. At the end of 2016, we had 1,721 full time employees, which is down from 1,742 at the end of the prior year, despite the 39 people we added as a result of the Flathead Bank acquisition. Although overall headcount is down, we have also invested in more experienced personnel in a wide range of areas throughout the company as we have discussed on prior conference calls. As a result, we have a senior management as well positioned to be the larger high growth version of First Interstate without negatively impacting our cost structure. Looking at the balance sheet trends, as usual the fourth quarter is a slower period for loan production and we were down about $50 million in total loans from the end of the prior quarter. The decline was primarily driven by three areas. Ag loans were down approximately $23 million, which is consistent with the pay down as we see on lines of credit at this time of year. Residential real estate loans were down approximately $20 million as we let some long-term fixed rate mortgages that we booked prior to 2013 run-off. As I sated before for the last couple of years, we have only been retaining adjustable rate mortgages with shorter durations. In commercial loans we’re down $16.5 million due to seasonal pay downs as well as some charge offs we took in this quarter. Honestly, this is not what we expected. We normally see this portfolio remain flat during the fourth quarter. As we look at the current pipeline, it appears that some of our loan production we expected has been pushed into the current quarter. These declines were partially offset by continued growth in our indirect auto portfolio, which was up another $21 million quarter-over-quarter. Looking at the quality, we saw good stability in the portfolio this quarter and a decline in non-performing assets. There were no material changes in our oil and gas portfolios for the prior quarter as both the total dollar amount of the portfolio in a level of criticized loans remained relatively flat. Of course, the most significant development in the fourth quarter was the announcement of our acquisition of Cascade Bancorp for which we filed our S4 yesterday. Over the past few years, we have been preparing the Company to execute a transformational deal to significantly increase the scale, profitability and future growth opportunities of the company. We put people, processes and technology in place to enable us to expand from a local community bank into a larger regional community bank with a broad multistate footprint. With this foundation in place, we found an excellent merger partner in Cascade, a strong community bank franchise that represents a good strategic and cultural fit for First Interstate. Cascade not only provides us with a scale to further improve our operational efficiency, it also gives us a presence in high growth markets of Oregon, Washington, and Idaho. Given the typical growth rate opportunities of the current foot print, it was important for us to increase our access to markets with more robust economies. By entering more dynamic markets and combining with a bank that shares our relationship based approach to community banking, we would believe we will generate higher returns of balance sheet and earnings growth while still maintaining our core values and corporate culture. We are very pleased with the progress we have made to date toward completing the merger. We accomplished an important step recently when we acquired the rights to use the First Interstate Bank name throughout the United States. The First Interstate branch still has a strong awareness and a good reputation in Oregon, Washington and Idaho and we expect to effectively capitalize on the brand recognition to grow the customer banking – customer base in these markets. Our entire organization is excited about the opportunity presented by this merger. With our laser focused approach to the smooth closing integration, we look forward to quickly realizing the amount of synergies we project through the combination of First Interstate and Cascade. So with those comments, I would like to turn the call over to Marcy for a little more detail behind the numbers. Go ahead, Marcy.
Marcy Mutch: Thanks, Kevin. Good morning, everyone. As I walk through our financial results, unless otherwise noted, all of the prior period comparisons will be with the third quarter of 2016. I will begin with our income statement. Net interest income increased $3 million on a linked quarter basis. The increase was primarily due to higher loan yields combined with an increase in the average outstanding loan and investment portfolio balances. To address the noise comment Kevin made earlier, we had an adjustment interest income this quarter of $1.8 million, which was attributable to interest on acquired non-accrual loan. The reason for this adjustment is a little confusing, so please bear with me. We had a pool of acquired non-accrual loans that were handled correctly on our system. Our loan purchase accounting system assumes the core system is accruing interest based on the contractual term on non-accrual loans. And then the purchase accounting system automatically reverses this interest resulting in a zero net impact to income. However in this instance, our core system was not accruing interest on a small pool of non-accrual loans. So the interest has been reversed by the purchasing accounting system that had never been recorded in the first place. It was a small adjustment month to month, but the issue got picked up during analytics in the fourth quarter and resulted $1.8 million adjustments to interest income. This issue has since been corrected. This adjustment was roughly equivalent to the interest recovery we had last quarter, so netting out these two items, it was not a factor in the increase of net interest income quarter-over-quarter, however it does impact the net interest margin and loan yield this quarter. Our reported net interest margin increased 4 basis points in the quarter, excluding accelerated discount accretion, recoveries of charged off interest and the interest income adjustment that I just discussed. Our core net interest margin increased 2 basis points. Our non-interest income was flat quarter-over-quarter. And as we disclosed in the earnings release, in order to be consistent and comparable to prior periods, we discontinued netting direct costs related to home loan originations against the gross revenue. We believe this reclassification creates greater transparency for our investors and better reflects our trend. So mortgage banking revenues were down $2.4 million or 3.4% this quarter mainly due to declines in production during the last half of the quarter. Mortgage originations for home purchases accounted for 50% of our fourth quarter loan production, down from 56% in the prior quarter. This decline was partially offset by a $729,000 increase in wealth management revenues. The increase resulted from state fees and higher insurance productions that occurred this quarter. We also brought in new clients. And as of December 31, assets under management were $4.9 billion, an increase of approximately 9% during 2016. Our non-interest income in the fourth quarter also included an additional $400,000 recovery of litigation expenses, which we considered to be non-core revenue. Moving to expense; our total non-interest expenses increased by $4.2 million from the prior quarter, excluding acquisition related expense, our non-interest expense increased by $3.9 million. $2.2 million of the increase was due to higher incentive compensation and profit sharing accrual as the Company's performance against predefined metrics improved this quarter due to higher net interest income and lower provision expense. The balance of the increase was the result of higher fourth quarter advertising, technology and donation expenses. So for the quarter, our core net income resulted in earnings per share of $0.57 with the fourth quarter adjustment for the interest income offsets by the increase in incentive accrual. Looking to the balance sheet, Kevin has already discussed the major trends in the loan portfolio and our deposits were relatively unchanged from the prior periods, so I will move on to asset quality. As Kevin mentioned, we saw good stability in the portfolio with only minor changes in our major credit categories. Our non-performing assets decreased by $2 million while criticized loans increased by $2 million. Our net loan charge-offs were higher than usual this quarter totaling $6.1 million or 44 basis points of total loans on an annualized basis. $4.8 million of the charge-offs related to the resolution of two commercial loans for which we allocated specific reserves later 2015 and early in 2016. We have recorded a $1.1 million provision expense in the quarter. Since the majority of the loan charge-offs this quarter have specific reserves already set against them, they didn't drive any additional provision expense. However, the charge-offs did drop our allowance level of it to 1.39% of total loans and 88% of non-performing assets. The allowance against the oil and gas portfolio remains high at 12.8%. Our capital ratios remained strong and we continue to stay on course with our capital management strategy, prioritizing organic growth in strategic mergers. Our recently announced acquisition of Cascade fits nicely into the strategy. So before I conclude, I'd like to provide a little insight into expectations for 2017. None of my comments include the impact we expect to realize from the Cascade transaction. Looking ahead, we expect to see modest growth in our net interest income based on expected mid single-digit loan growth. As I said before, we take a conservative approach in modeling our interest rate sensitivity to any potential fed rate hikes. We model a 0.67 beta indicating that we will return 67 basis points of a 100 basis point increase to our customers. Consequently, we do not forecast any significant benefit resulting from an increase in fed rates. However, if this proves to be too conservative, we could see some lift here. We continue to see growth in non-interest income in the mid single-digit range. Despite the seasonal decline that occurred this winter in residential mortgage, the demand remained strong in our markets and we expect overall loan origination production in 2017 to be fairly similar to what we saw last year. We expect non-interest expense year-over-year to be fairly flat compared to 2016 with a run rate of about $64.5 million per quarter. An asset change in the tax code, we would expect our tax rate to be about 3%, 4%. Lastly, I would like to remain all of our analysts and investors about the seasonality that we typically experienced in the first quarter. This is really most pronounced in our fee-based revenue. During the first quarter in 2016 and 2015, our fee-based revenues declined by 7% and 11% respectively compared to the preceding fourth quarter. We expect to see a similar decline in 2017. So with that, I will turn the call back over to Kevin. Kevin?
Kevin Riley: Thanks, Marcy, nice job. I am going to warp up with a few comments about our outlook. From an economic standpoint, we are seeing fairly healthy conditions across our existing footprint. The recent executive order authorizing the construction of the Keystone XL pipeline is expected to have a very positive impact on our markets. The Montana Chamber of Commerce estimates that the construction of the pipeline will generate $767 million of economic activity in Montana alone and support 3700 jobs. Even before the news of the pipeline, we are seeing encouraging employment data in all of our markets. Since our last conference call in October, the unemployment rate has declined in all three states that we operate in with the most significant improvement in Wyoming. From August to November, the unemployment rate in Wyoming dropped from 5.5% to 4.9%. When we don’t expect to see strong loan demand in our Wyoming markets, the strong unemployment or employment trends should have help stabilize our credit trends in 2017. We expect these economic trends will support overall loan growth in 2017, that's consistent where our historical mid-single digits range with most of the growth occurring in our Montana and South Dakota markets. In 2016, we put a lot of emphasis on people, process and technology. We made significant progress, adding some exceptional banking talent, streamlining key processes and enhancing our use of technology in many areas of the Company. During the fourth quarter alone, we rolled out a new digital banking platform and a number of changes to our accounting system with a new general ledger and accounts payable system as well as a new financial reporting system and a new HR, or human resource system. People, process and technology will continue to be our mantra in 2017 where one of the key priorities being an enhancement of our consumer lending processes and a procedure to ensure that we effectively manage the growth of this portfolio as we enter new markets in Oregon, Washington, and Idaho. We're very pleased with the strategic priorities we have executed that have translated into both higher earnings and higher returns. Based on our core earnings, we improved to return average common equity to 9.82% in 2016 up from 9.75% in the prior year. As we continue to execute well and realized synergies we project in our combination with Cascade Bancorp, we remain optimistic that we will continue to generate higher earnings growth, increased returns and strengthen the value we deliver to our shareholders in the years ahead. So with that I would like to open the call up for questions.
Operator: Yes, thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Jacqui Boland with KBW.
Jacqui Boland: Hi, guys. Good morning.
Kevin Riley: Hi, Jacqui.
Jacqui Boland: Hi. Just looking on some of the compensation, and Marcy thank you for all that guidance, that was very helpful. As I stripping out the M&A cost that were in 4Q and I know that sometimes it can be a seasonally higher quarter. How does that reconcile to the $64.5 million guidance?
Kevin Riley: All right, could you elaborate on that question, Jacqui?
Jacqui Boland: All right, so, I am just looking at the non-interest expense line item. And it was above the forward guidance. If I wrote it down correctly, you had said about $64.5 million straight quarter.
Kevin Riley: That’s correct, sure.
Jacqui Boland: So just trying to reconcile the current quarter to back down to that number and where the variances might be.
Marcy Mutch: So, I really think that the incentive cost is going to be a huge driver in that. So that was an extra $2.2 million this quarter. We had a little bit higher seasonal – a little bit higher technology costs, some higher donation and advertising. So when I got to the $64.5 million that's a run rate average through the year. We do have some noise in there from quarter-to-quarter. Always I think that fourth quarter is a little bit higher than the rest of the year. So, it will probably be a little lower in the first three quarters, a little higher in the fourth quarter again this year.
Jacqui Boland: Okay. That makes sense. So, a lot of incentive comp going away and then just some kind of [indiscernible] in noise and investments and things like that shouldn't repeat?
Marcy Mutch: Right.
Kevin Riley: Yes, it also – for the whole year, we – this year as we changed over a lot of staff, we actually incurred about $3 million of severance cost in our non-interest expense, so there is some real savings as we move forward in that because we don’t anticipate having the amount of turnover going forward.
Jacqui Boland: Okay and that’s $3 million in severance cost that hasn’t been separately called out in any M&A lines or anything like that right?
Kevin Riley: That’s correct. This is dealing with our current management
Jacqui Boland: Okay. That’s very helpful. Thank you. And then just one last one, as I look at your mortgage banking outlook I know with the change there was some line item changes obviously in the quarter between fees and expenses, and you had mentioned that you think that originations could be similar in 2017 versus 2016. How does that play in and just with the rate outlook and with your expectations for purchase versus refi volume going forward?
Kevin Riley: To be honest with you Jacqui we see a pretty robust, we’re kind of surprised at the purchase volume is as low as it was in the fourth-quarter because we see a lot of activity in construction and new home purchases through our footprint. So we just believe that it’s going to continue. As you know in the winter months it’s cold out here a little bit so we have less actual purchase, but we believe that that will increase as we move into warmer months. But it’s pretty robust. Our people are actually out there building homes are very pretty bullish on the economic developments in our markets.
Jacqui Boland: Okay. And pipelines are starting to pick up again after the holidays?
Kevin Riley: A little bit. Mainly on the – may be on the commercial side I would say the home loan side where you’re going to start picking up as we get there at the end of the first quarter.
Jacqui Boland: Okay, thanks, Kevin. I’ll step back now.
Kevin Riley: Okay.
Operator: Thank you. And the next question comes from Jared Shaw with Wells Fargo.
Timur Braziler: Hi good morning. This is actually Timur Braziler filling in for Jared. I guess my first question is on the overall reserve level again appreciate the color on the specific reserves included in this quarter’s charge off. But just looking at the overall reserve around 140 of loans is still relatively high, compared to the broader group. What’s the outlook there, what’s the ability to bring that lower kind of given your current non-accrual bucket?
Kevin Riley: Timur, this is Kevin. The thing is that we continue to work out some of our credits that we have. So we have three buckets that we utilize when we come up with our allowance. The first one is specific reserves. The second is based on migration analysis of historical things. Then we have some subjective factors. Currently, we believe that we’re adequately reserved and until things really improve with regards to some of those buckets, and we continue to have positive run rates, we believe that will be here for a while. But it could as asset quality continues to improve start coming down.
Timur Braziler: Okay. Thanks for that. And then I guess switching over to linked quarter loan growth in the commercial bucket in particular since a little bit of disappointment, I guess with the overall level of growth this quarter. I’m just looking to get a sense for utilization rates. What you are hearing from your customers and I guess as we head into 2017, what your outlook is for that line item?
Kevin Riley: Okay, Tim, I’m going to turn it over to Bill Gottwals, our Chief Banking Officer to answer that question.
Bill Gottwals: You bet. Well as we saw in the fourth quarter, there was some migration into this current quarter in part around construction. If you look in the markets that where you have the most concentration for that we really had more of a harsh winter, so we saw a real slowdown in construction that we would expect to pick back up. And looking at the details behind our pipeline, I would say it’s up fairly significantly over last quarter and over what we would normally expect for the current quarter. The good news is that it’s spreads fairly evenly across all geographies including Wyoming, that being primarily the Jackson Market. Then more broadly we are seeing it spread across industries and product type pretty uniformly and not being driven by any particular single, large transaction. So that’s kind of a broad scope of what our pipeline looks like. But we are seeing good projected growth for Q1.
Timur Braziler: Okay. Thanks for that. And then the last one from me, kind of a bigger picture question for you Kevin. Just looking at some of the deals that have been announced and then subsequently canceled in recent weeks and months, just looking at the progress that you guys are making with Cascade and the conversations that you guys have had with regulators to date, and I know it’s not that long into the process. But anything in there that’s troubling. I guess any kind of insight you can provide to the conversations you’re having with regulators and if you are still projecting a third quarter close for that deal.
Kevin Riley: We are still projecting a third quarter close. I would tell you the relationship we have with our regulators is really good and we have a continuing ongoing dialogue, the regulators were just in the past month speaking to our Board and everything. So everything seems positive. We continue to try to modernize and to short things with regards to as we get bigger. And as I mentioned in my remarks, we’re really focused on not that we have any problem, but focused on our consumer loan process and consumer loan oversight going into 2017 more to really enhance our processes and procedures around that to ensure that we don’t run a follow with the CFPB once they start regulating us and stuff like that. So we are looking at things and trying to modernize and to really shore up anything that could be of concern with the regulators. So they are very positive about that. They love what we’re doing and trying to relate strengthen this institution. So we have, like I said, a good relationship with our regulators.
Timur Braziler: Okay. And are there any systems that you’re building out in conjunction with this deal progressing to the close. And I guess lastly is the expectation for Cascade to switch over to all First Interstate systems or are there going to be some kind of backwards migration going on?
Kevin Riley: There’s no actual real system that we really have to move forward to do this transaction. But I will tell you when I look at the transaction with Cascade, we are kind of excited because I think to other we’re stronger than we’re a part. We’re actually looking at the backroom operations of Cascade to really to be developed into our disaster recovery site. We have some developers there and some call centers there because we are in a different time zone. So we are really looking at to enhance our capabilities with them due to the fact that now we can actually hire people to live in van [ph] versus buildings and really support a better operational technology shop. And so we believe that that’s just going to strengthen us going forward. And what was the second part of your question?
Timur Braziler: If there’s any kind of reverse migration on to their systems or are they going to be all coming on to First Interstate Systems?
Kevin Riley: At this juncture, I think you pretty much relative to come onto our systems. But I will tell you another thing that we like with regards to Cascade is that they have a very strong SBA lending program and a system. And as you know it’s a specialized type of lending process. So they have a very strong process there. They are the number one SBA lender in Bend, they are the number four SBA lender in Boise and the Prime Financial that they purchased up in Seattle, again specialized SBA lender. So we’re not as strong as they are so that platform will probably be something that we adopt through our current footprint.
Timur Braziler: Great, thanks Kevin.
Operator: Thank you. And the next question comes from Matt Yamamoto with D.A. Davidson.
Matt Yamamoto: Good morning. I just had a couple of questions. In regards to eventually passing the $10 billion threshold what do think that added cost will be relating to the Durbin amendment?
Kevin Riley: As we disclosed in the acquisition – and I didn’t catch your name, what’s your name again?
Matt Yamamoto: Matt Yamamoto.
Kevin Riley: Matt okay. We have disclosed it. We’re calculating that to be $11.5 million, $8 million of that would represent the current activity at First Interstate and $3.5 million would be the current activity at Cascade Bancorp.
Kenzie Lawson: And that’s a pretax.
Kevin Riley: That’s a pretax number.
Kenzie Lawson: Number.
Matt Yamamoto: Awesome, and could you – I’m sorry if I missed it but could you provide more color on the three – sorry the three borrowers that caused NCOs to increase for the quarter?
Kevin Riley: That chart – well the two big ones, one was one that we talked about on our conference in 2015, it was kind of a restaurant company, franchises and everything that was a surprise to us. Last third quarter and that’s why we provisioned about over $3 million in fourth quarter last year. The second one was a flooring company that supports construction and that one came to light in the second quarter of 2016, which we put away money regarding that. So those are really the two [indiscernible], they represented about $4.8 million of our losses this quarter. So those really were the two that were the problem assets.
Matt Yamamoto: Awesome. Thank you. I’ll step back.
Operator: Thank you. And the next question comes from Matthew Forgotson with Sandler O’Neill.
Matthew Forgotson: Hi good morning.
Kevin Riley: Good morning Matt.
Matthew Forgotson: Just on your provision expectations. I guess $1.1 million this quarter. If you reconcile add back in the recovery, gives us like $2.6 million or so of stabilized provision. Is that a reasonable expectation as we move into and across 2017?
Marcy Mutch: You know Matt we’re looking at some where between 20 and 25 basis points of total loan for next year. That would be our estimate.
Kevin Riley: Yes, but 20 to 25 basis points of outstanding loans on average is what we’re looking at as to be the provision expense next year.
Matthew Forgotson: Okay, great. And in terms of loan growth I guess heading into the first quarter of the year I know historically just holding balances flat has been a victory but it sounds like there was some originations that were pushed off into the first quarter of the year. Are you expecting flat to modest growth or should we be tempering our enthusiasm a bit?
Kevin Riley: No I think flat to modest growth is, I mean it’s not going to be like what we normally do in the second quarter. Our second quarter as you know historically is somewhere around 3.2% and 3.6% growth that we’ve seen over the last three years. But we’ve had some modest growth in first quarter.
Matthew Forgotson: Okay great. And then lastly, just in terms of M&A can you give us a sense of your capacity to do another small bank deal or may be another larger deal? I know you got a – obviously you got a big one in the works. But what are you seeing and hearing on M&A?
Kevin Riley: As you know you guys I prospect a lot as I talk to my lenders. I talk to a lot of people because you can’t be part of the party if you are not invited. So I think that thing is, I think, we’re laser-focused on making sure that the Cascade acquisition comes in quick and effectively and is integrated in a very fast, timely basis. My belief is that there’s a lot of M&A activity out there. So we don’t want to be delaying too long. Like the last acquisitions we did we normally would close, and convert and actually get all synergies within a week or two of the actual closing date. We anticipate to really get Cascade done in a very timely basis. We’re spending a lot of time with their personnel now. I don’t know what’s going to be the next acquisition, but what we want to do is make sure that there’s a meaningful acquisition that could be an enhancement to our franchise and to our shareholders that we can take advantage of that. And I would anticipate more acquisition activity out there. So it’s our job as management to prepare the Company as quickly as possible.
Matthew Forgotson: Thanks very much.
Operator: Thank you. [Operator Instructions] And the next question comes from Tim Coffey with FIG Partners.
Tim Coffey: Good morning Kevin.
Kevin Riley: Good morning Tim.
Tim Coffey: As I look at the Ag book it seems like it might not be as much of a headwind to loan growth in 1Q as it was in 2016. Am I seeing that right?
Kevin Riley: I think you might be right. I think we have little more paydowns again in the fourth-quarter earlier than expected, so it might not be as much as headwind going into the first-quarter.
Tim Coffey: And then with the kind of construction activity you seem to like your footprint could it lead to a noticeable uptick in residential mortgages or commercial mortgages for you?
Bill Gottwals: I didn’t get that question.
Tim Coffey: The construction activity in your footprint, could that lead to a noticeable increase in mortgages whether residential or construction for First Interstate?
Bill Gottwals: Correct.
Tim Coffey: Okay. And when do you think that might start to appear in marketplace?
Kevin Riley: Billy why don’t you take that one.
Bill Gottwals: Certainly, in some of our higher growth markets, not to blame much on weather, but somewhat anecdotally look at a bulls mid-market inventory is unusually low for the growth and is truly driven by their ability to start building right now. South Dakota, is in the same boat. So you are right there, once we can get back into the ground and start putting in foundations, I think you’ll see a bump up in construction and then a tie back into the permanent side.
Tim Coffey: Okay, great. Thank you. And then Kevin kind of follow-up on the SPA comment, you are right Cascade does have a great SPA operation and First Interstate doesn’t really. How quickly are you going to move on bringing that system across the First Interstate operations?
Kevin Riley: Tim I enjoyed your frankness. The think is we’re going to – that’s going to be part of the integration plan. We will look at that and see how quickly we can do that I think it’s really good because there’s a couple things we want to transfer – transform into their markets and I think there’s some in ours. So it’s all going to be part of the acquisition integration plan, because we also want to get somewhat management over there, we want to get our card business over there more and I think we can do a little may be better job in mortgage lending. Like I said I think that two companies coming together really make both companies far stronger than they were apart.
Tim Coffey: Okay, great. Thank you Kevin those were my questions.
Kevin Riley: Thanks Tim.
Operator: Thank you. And there are no more questions to present. So I would like to turn the call to management for any closing comments.
Kevin Riley: Thank you. As always we welcome calls from our investors and analysts. Again if you have any questions please reach out to us and we will follow-up with you. Thanks again for tuning in today and good bye.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.